Operator: Good morning and welcome to Air Products and Chemicals Fourth Quarter 2007 Earnings Results Conference Call. Just a reminder that you will be in a listen-only mode until the question-and-answer segment of today's call. [Operator Instructions]. After this telephone conference presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Air Products will be recording this teleconference and may publish all or a portion of the teleconference. No other recording or redistribution of this telephone conference by any other party are permitted without the express, written permission of Air Products. Your participation indicates your agreement. Beginning today's call is Mr. Nelson Squires, Director of Investor Relations. Mr. Squires you may begin.
Nelson Squires - Director, Investor Relations: Thank you, Janelle. Good morning and welcome to Air Products' fourth quarter earnings teleconference. This is Nelson Squires. Today, our CFO, Paul Huck and I will review our fiscal fourth quarter and year end results. We issued our earnings release this morning and it is available on our website along with the slides for this teleconference. Please go to airproducts.com and click on the scrolling red banner to access the materials. Instructions for accessing the replay of this call beginning at 2 PM Eastern Time are also available on the website. We have included an appendix to today's slide package with additional detailed information. In the appendix, you will find reconciliations for any non-GAAP information. Most of our comments today will focus on continuing operations, excluding the effect of several items detailed in the footnotes to our financial statements. Paul will provide more color on our actions later. Please turn to slide 2. As always, today's teleconference will contain forward-looking statements based on current expectations regarding important risk factors. Please review the Safe Harbor language on this slide and at the end of today's earnings release. Now I will turn the call over to Paul.
Paul E. Huck - Vice President and Chief Financial Officer: Thank you Nelson. Good morning and thank you for joining us today. Please turn to slide number 3, we had another solid quarter. A pretty end to an other strong year in 2007 with continued growth in sales and earnings while delivering operating leverage to the bottom line. And most importantly, we continue to improve our return on capital. I'm glad to say we achieved our ORONA target of 12.5% for fiscal year 2007. We entered the year forecasting double digit earnings per share growth and improvements in our return on capital. And we delivered on these commitments. Turning to slide number 4, looking to our results for fiscal 2007, sales grew by 15% or more than $1 billion to $10 billion due to higher volumes broadly across all segments. Operating income was up 23%, earnings per share increased by 25%. And ORONA improved by 110 basis points. The continued strength of our operating cash flow allowed us to repurchase $567 million in shares, the third consecutive year we brought back $500 million or more of our stock with just under a $0.5 million remaining under a previous authorization last month, our board authorized an additional $1 billion towards share repurchases. Please turn to slide 5. This quarter we had a number of items that occurred. Let me clarify the impacts of these items. This slide isolates them to arrive at our underlying performance. First, we recognized a $0.04 loss on our Electronics High Purity Process Chemicals Business or HPPC as we've entered in to an arrangement to sell the business, which we announced this morning. HPPC generated $87 million of revenues in 2007. We've reclassified the results for 2006 and 2007 to discontinued operations as we expect to close by the end of the calendar year. This was a low margin business and its sale represents another step in improving the profitability, margins and returns of our electronics business. Second, as we told you last quarter, we settled on a polyurethane intermediates contract termination and recorded a $37 million or $0.11 per share gained in our chemical segment. Third, we reduced our ownership in Air Water, a Japanese industrial gas company, we donated 65% of our investment to the Air Products foundation which generated the small operating loss and a significant tax benefit. We also sold and recognized, again on another 15% of our investment, combined this added $0.09 per share to this quarter's results. Fourth, as we mentioned in our previous guidance, a number of senior managers retired in 2007 and as a result, we recorded a supplemental pension plan charge, a $10 million or $0.03 per share. The accounting rules required after remaining $20 million to $25 million charge will be recognized when paid in fiscal year 2008. Fifth, we are continuing cost reduction actions started in 2006 to further simplify our business and reduce our cost of doing business. We have included the charge of roughly $14 million or $0.04 per share. The areas of focus are, a continuation of our move to shared services to streamline our operations. Rationalization of products and assets in Electronics to continue to improve margins and returns, and reduction in management and corporate services to continue to simplify our businesses. And finally, the quarter includes a $0.05 per share tax benefit related to state and foreign audit resolutions. Our guidance, as we told you last quarter, excluded the earnings impacts of these times. This slide shows what our results from continuing operations would have been excluding them. Our EPS would have been $1.17 versus our guidance of $1.10 to $1.15. This is a year- on-year increase of 26%. I'll walk you through the factors that drove this growth in EPS in a moment. Turning to slide 6, for a brief review of this quarter's operating results. Sales grew 12%, driven mainly by broad based volume growth across most segments. Currency contributed 3% and acquisitions added 2%. We continue to make progress, reducing SG&A as a percentage of sales. This quarter's SG&A was 11.6% of sales lower than prior year by 20 basis points. Operating income of $371 million was up 22% from prior year, again due to strong volume performance across the board. For the quarter, our net income was $262 million and diluted earnings per share was $1.17 when compared with prior year. Net income increased 25% and diluted EPS increased by 26%. Now, let me talk about the factors that affected the quarter's performance in terms earnings per share. Higher volumes contributed $0.23 improvement. Higher pricing and raw material costs together contributed $0.05. Other costs were unfavorable by $0.12 as improving productivity efforts were more than offset by the impacts in inflation and increased cost to serve the higher volumes. Overall, we did see productivity get to the bottom line as our operating margins expanded by a 130 basis points to 14.3%. The Poland acquisition is performing well and contributed $0.03. Last year, we had a net $0.04 gain on insurance recoveries. Split fairly evenly between the merchant and tonnage segments. And also last year on our U.S. Healthcare business, we recorded a $0.05 charge for an inventory adjustment. The bottom line is we had another strong quarter and we generated 26% EPS growth. Now, I'll turn the call over to Nelson to review our business segment results. Nelson?
Nelson Squires - Director, Investor Relations: Thanks Paul. Please turn to slide 8, Merchant Gases. Merchant gases capped off a great year with a strong quarter. Sales of $855 million were up 18% versus prior year. Acquisitions contributed 6%, currency 5%, pricing 4% and volume added 3%. Sequentially merchant gases sales grew 5% with volumes contributing 3%. And price and currency each adding 1%. Merchant gases operating income of $155 million was up 20% versus prior year. And segment operating margin of 18.1% was up 30 basis points. Due to pricing gains and volume growth and partially offset by hurricane insurance recovery in the prior year. Let me now provide a few highlights by region. Please turn to slide 9. In North America, our liquid bulk volume index was down 1% year-on-year. LOX/LIN volumes were up 3% versus prior year. However, overall growth was limited by the availability of argon and helium. Liquid hydrogen was down 4% due to lower government sales. Our liquid bulk volume index was up 1% sequentially due to increased spot sales of LOX/LIN with growth limited by the availability of argon and helium. Last week, we announced that we are jointly building a liquid helium production plant by Matheson in Wyoming. This new capacity is expected to come on stream in 2009. Average LOX/LIN pricing increased 3% year-on-year reflecting continued solid performance in this area. Pricing was 1% lower sequentially due to mix. In the quarter, we did announce a price increase on all products effective October 1, 2007. New business signings were strong in the quarter and well ahead of target for the year. We continue to win new orders at a high rate by bringing applications technology and know how to our customers. The European liquid bulk volume index was down 2% year-on-year mainly due to the absence of significant spot sales to one customer. We are now serving this customer via an onsite plant. Availability of argon and helium affected volume sequentially. New business signings were solid for the year, but reflect tightness in LOX/LIN availability on the continent. Our European LOX/LIN pricing was up 4% year-on-year and 1% sequentially, reflecting our continuing ability to recover higher costs. Cylinder volumes in Europe were up 3% versus prior year reflecting solid growth in new offerings. Sequentially, volumes were seasonally down 4% due mainly to summer holidays, underlying demand remained strong. In Asia, liquid bulk volumes were up 18% over last year and 8% sequentially driven by strong demand for all products. Pricing was up 3% year-on-year and 1% sequentially reflecting continued success in our recent efforts to recover higher energy and distribution costs. Please turn to slide 10, Tonnage Gases. Sales of $690 million grew 12%, compared to last year. The impact of late fiscal year 2006 plant start ups and improved plant loadings yielded 10% volume growth. Natural gas prices were lower versus prior year and decreased sales by 2%. Currency added 2% and acquisitions added 2%. Operating income of $105 million was up 1%, compared to last year. The increase over prior year was due to the volume impact of new plants and increased loading. It was offset by the absence of last year's hurricane settlement and higher maintenance spending. The sequential decrease of 5% was due mainly to higher maintenance costs. Operating margin of 15.2% decreased 170 basis points versus last year due to the prior year insurance... hurricane insurance recovery. Sequentially, margins were down as we experienced higher maintenance cost. We were selected during the quarter as a major supplier to Eastman Chemical's gasification project in Beaumont, Texas. Our scope will include the supply of 7,000 tons per day of oxygen in the offtake of hydrogen. We will distribute the hydrogen via our pipelines to refinery customers in the region. We are excited to be a part of this important new project. We also signed our third contract with Guofeng Steel during the quarter and we're building other air separation plant to support their expansion. We expect to bring six large plants on stream in fiscal '08 including our second hydrogen plant for Petro-Canada's refinery in Edmonton, Alberta and a large nitrogen facility for enhanced oil recovery for Pemex, which is currently in start up. Our bidding activity remains very high. We are actively working on more than 20 new tonnage opportunities in North America, Europe, Asia, Latin America and the mid-East. Please turn to slide 11, Electronics and Performance Materials. Segment sales of $523 million were up 5%, compared to last year. Volume gains accounted for 9%. Lower equipment results reduced sales by 3%, pricing reduced sales by 2% and currency added 1%. Electronics sales were up 2%, compared to last year driven by higher sales and its specialty materials while dampened by lower equipment sales. Excluding equipment sales increased 8%. Electronics sales were down 4% sequentially again due to lower equipment sales. Excluding equipment, sales increased 8%. In performance materials, volumes grew 8% and our penetration of new products improved 30% versus prior year and now represent approximately 15% of our portfolio. Overall, operating income of $61 million was up 2% versus prior year. Operating margin of 11.6% was down 40 basis points versus prior year due to higher cost associated with streamlining our business portfolio. We continued to be successful with winning majority of new fab orders. During the quarter, we received an award to supply gases to Hynix's latest expansion in Korea. We will build the new air separation plant to supply this project. In '08, we expect to see higher tonnage in specialty material revenues and lower equipment sales as capital expenditures lease off and capacity is brought on stream. While holding down revenue growth, the margins in tonnage and specialty materials are better and profits will grow faster. We will also see the impact of the skew reductions, which will reduce revenue by approximately $100 million. Please turn to slide 12, Equipment and Energy. Sales were $124 million in this segment decreased 4%, compared to last year and 8% sequentially. Largely due to lower LNG heat exchanger activity. Operating income of $18 million decreased 9% versus prior year. Income was up 13% versus prior quarter primarily due to favorable cost performance. Our backlog of projects in this segment now totals $258 million. Looking forward into fiscal '08, we would expect to receive some new orders for large air separation units and LNG heat exchangers. Please turn to slide 13, Healthcare. Healthcare segment sales of $160 million were up 7%, compared to prior year due primarily to better performance in Europe. Sequentially, sales were up slightly again reflecting stronger results in Europe. Operating income of $9 million was up versus prior year and higher European volumes in prior year inventory write downs. Sequentially, our margins improved 10 basis points to 5.5% driven by growth in Europe. The U.S. business remained flat during the quarter. While the U.S. business did not deliver the progress we expected this year, we have redefined the business model and changed the incentive structure. These changes have put the business on better footing as we begin this fiscal year and we expect improved results. Please turn to slide 14, Chemicals. The Chemicals segment had sales of $252 million up 13%, compared to last year and delivered operating income of $29 million, up 96% due to volume gains in both polyurethane intermediates and polymers. Now I will turn the call back over to Paul.
Paul E. Huck - Vice President and Chief Financial Officer: Thanks Nelson. Turning to our full year outlook on slide 15. Based on our continued strong performance coupled with the actions we are taking to deliver next year's results, our fiscal 2008 earnings per share guidance is $4.80 to $5, which represents year-on-year earnings growth from continuing operations of 10% to 14%. This will be our fifth consecutive year of double digit growth and improving return on capital. Underlying these earnings per share growth, we are forecasting sales growth of 8% to 10% and margin improvement of 100 basis points from 14% to 15% for the Company. We will continue to focus on driving improvement in our return on capital. Partially offsetting the underlying volume and margin growth, we expect our effective tax rate to be in the 27% to 28% range next year and the second tranche of our supplemental pension charge related to our cost reduction efforts that I described earlier. Now, let's look at the underlying factors that drive our volume and margin growth. Globally, we saw manufacturing grow between 3.5% to 4% in fiscal 2007. We expect 2008 to be about the same to slightly lower. In the U.S, we anticipate the low trend manufacturing growth of about 2% to 3% in fiscal 2008 or roughly the same as in fiscal 2007. Industry is tied to the housing down turn, will place the greatest drag on manufacturing. But we have little exposure there. Industries with strong export prospects where we have greater exposure will benefit from the weaker dollar and healthy overseas demand. We don't think the fundamentals lead to the economy falling into a recession. For Europe, we expect growth to continue. With the EU expansion, with Central Europe as the strongest region within Europe. And Asia will continue to be the strongest area of growth and expansion overall. Now turning to our business segments, manufacturing growth along with our efforts to raise prices and increase productivity should generate continued improvement in our Merchant Gases segment next year. We are targeting a 19% margin for 2008. In the U.S., we are continuing to operate at a high rate across our system, therefore to serve our volume growth we will continue to de-bottleneck plans and convert larger customer to small onsite. In Asia, Merchant Gases demand is growing rapidly based upon strong manufacturing growth coupled with our expanded technology applications, we continue to expect double digit volume growth across the region next year. In Europe, we are continuing the focus on improving our margins. Stimulating our business operations and utilizing shared services more broadly. In our Tonnage Gases segment, we will see some benefit from new facilities loading and productivity. Refinery hydrogen project development remains high as we see the market shift from being regulatory driven to being economics driven. Right now we are actively involved in proposals to a number of refiners as they expand their transportation fuel capacity. In Equipment and Energy, after posting record profits in 2006 and again in 2007, results will be much lower as one might expect given the client in our sales backlog. We do anticipate signing several LNG orders this coming year. Although, those orders won't have a significant impact on our 2008 profit outlook. New profits for both LNG and large air separation equipment orders continued to be solid. Despite this level of activity, equipment and energy operating profits are likely to decline by about $0.15 to $0.20 per share in fiscal year 2008. In Electronics, we expect continued growth with growth in square inches of silicon process of about 7%. Our Electronics customers continue to expand, driving new investment for tonnage and merchant gases and also creating a greater demand for our specialty gases and materials. Electronics sales growth will be more moderate due to lower equipment sales and our production rationalization efforts. We expect margin improvement as we make progress with these plants in our tonnage and specialty materials grow from increased production. Our growth expectations in Performance Materials are based on the assumption that we can grow two to three times GDP to a combination of share gain, new market and application successes and from new products. Overall, we expect to achieve double digit volume growth in fiscal 2008. For the Electronics and Performance Materials segment, we are targeting to prove our operating margins to about 13% next year. Healthcare should also show significant improvement over the next year. We continue to take actions to turn around volume in the U.S. business. We should also see continued growth in Europe. We are targeting to improve operating margin in this segment to 10% by the end of 2008. In our Chemicals segment, next year guidance includes both polymers and polyurethane intermediates results for the full year. For polyurethane intermediates, we have now completed the restructuring efforts we embarked on about a year and half ago. We have sold the Geismar facility and have reached a contract settlement with a major customer. We also explore the potential sale of the rest of our polyurethane intermediates business. Offers were inadequate and we planned to retain ownership. Regarding polymers, we remain on track with the progress we reported last quarter. And we hope to have an agreement of sale in place by calendar year-end. If this happens it would our intent to report our polymer emulsions business as discontinued operations once an agreement is in place and approved by our board. We also looking currently move the restructured polyurethane intermediates business into our tonnage segment. We have more to say about this next quarter. With regards to capital expenditures, our fiscal 2008 PP&A capital expenditures should be in the range of about $1.1 billion to $1.2 billion reflecting a strong project workload. Our success in wining new business is driving CapEx spending higher relative to last year. Now turning to slide 16. Based on our quarter four 2007 results and taking into account that our fiscal Q1 has seasonal factors they tend to lower income in a few businesses, we expect first quarter earnings per share should be in the range of $1.08 to $1.13 for year-on-year growth of 5% to 10%. While there are many factors that will impact our walk from quarter four to quarter one, let me highlight a few of the factors that will influence next quarter's results. Factors we forecast increased earnings sequentially include, continued volume growth in Asia merchant gases and a seasonal rebound on our Europe merchant gases business. Continued pricing in our merchant gases broadly and improvement in both volume and cost in our global healthcare segment. Factors we forecasted decrease earnings sequentially include seasonally, we expect higher average cost in both our tonnage and merchant segments. Lower operating results in equipment and energy, following peak workloads in fiscal 2006 and 2007, seasonally lower volumes in performance materials and polymer emulsions, and a higher tax rate as we talked about earlier. All things considered, we expect to post a solid quarter to start our fiscal year 2008. In closing, 2008 should turn out to be another year of solid progress in delivering our results, improving our businesses, executing our strategies and making Air Products a great investment for our shareholders. We believe our steady record of growth and improvement over the past four years is evidenced by the results we have delivered, double digit sales growth, double digit earnings growth and a meaningful improvement in return on capital for all four years. We the employees of Air Products have a great deal to be proud of, sales in 2007 exceeded $10 billion for the first time. We generated net income of $1 billion and achieved the return on capital goal we've set in 2004. We also have proven to be good stewards of our shareholders money by investing wisely back in the business, making good use of debt capital available to us, increasing the dividend for the 25th straight year and continuing to buyback shares with the remaining cash. These facts are evidence of Air Products' underlying strength and excellent prospects for growth. Our people are focused on delivering today and continuing to deliver in the future. We're all excited about the opportunities the future holds as we continue to profitably grow by winning and executing on new projects, improving our margins by 300 basis points over the next three years by driving productivity, increasing plan efficiency and improving our business mix. Delivering increased value to our customers through technical solutions that address the markets and our customers' most urgent needs, and continuing to develop our people around the world to meet greater challenges. Our people represent the essence of the Air Products difference. They are the ones who create those shareholder and customer value. Thank you and now I turn the call over to Janelle to take your questions. Question And Answer
Operator: Thank you. [Operator Instructions]. We'll take our first question today from P.J. Juvekar from Citi.
P. J. Juvekar - Citigroup: Good morning.
Paul E. Huck - Vice President and Chief Financial Officer: Good morning P.J.
Nelson Squires - Director, Investor Relations: Hi P.J.
P. J. Juvekar - Citigroup: You know you have a goal of raising operating margins by 100 basis points for the next three years.
Paul E. Huck - Vice President and Chief Financial Officer: Yes.
P. J. Juvekar - Citigroup: Can you achieve that with the current portfolio or do you need to exit chemicals and/or equipment business for that?
Paul E. Huck - Vice President and Chief Financial Officer: Well certainly P.J. a factor in here is for us and the sell out polymers businesses as we talked about. The polyurethane intermediates business we're going to keep. It doesn't impact the... our goals for margin. As far as for other things that we have the margin improvement plans which we pretty much laid out for people to deliver on net margin improvement over the next three years.
P. J. Juvekar - Citigroup: And then by selling HPPC, Paul, are you saying that the Ashland acquisition did not work out as well as you thought?
Paul E. Huck - Vice President and Chief Financial Officer: No, I am not, and we really, we had three products which we got, HPPC was one of them, but we also bought a strippers business in a... and we also bought a CMP cleans business. Those other two businesses were... and they were the reason for why we bought this business. We didn't ascribe a whole lot of value to the high period of processed chemicals, it was a decent portion of their sales, but if you just go back and look at the growth in which we have had and what we have been able to do in those businesses, the Ashland acquisition is still a good acquisition for our electronics business both now and in the future.
P. J. Juvekar - Citigroup: And just lastly Paul, are you disappointed with the pace of margin recovery in healthcare? Thank you.
Paul E. Huck - Vice President and Chief Financial Officer: Certainly, we don't like the pace and we fell short of our goal this year which we already admit to. We've got a goal for next year and we are... we've taken the steps which we think are right to make it happen.
Operator: And we will take our next question from Bob Koort from Goldman Sachs.
Robert Koort - Goldman Sachs: Thanks, good morning
Paul E. Huck - Vice President and Chief Financial Officer: Good morning Bob.
Robert Koort - Goldman Sachs: A couple of questions. First, Paul the merchant trends I guess, the monthly tranche provide show a little more strength through August. Did we see a deceleration in September and is there anything that gives you cause for concern.
Paul E. Huck - Vice President and Chief Financial Officer: As far as the trends in September, our September... it was not a strong on a year-on-year basis. We had a very good September last year though too, so lots of those gets in to taking and trying to compare to a particular month Bob, with it. Don't think you can... you got to be careful about that. We are seeing restrictions in both here in Europe and also in Asia on the helium thing. But argon and helium are very tight in North America and in Europe and that has restricted sales. For right now in sales growth year-on-year. Now the other thing which you've seen, you saw very strong price results there and so that I think has made up for that from a profit standpoint.
Robert Koort - Goldman Sachs: Got you and on the... Paul, you're seeing intermediates. Obviously you resolved your contract issue, which I would assume provides a nice near term financial incentive. But I suppose you'll be operating that unit at... at a lower utilization rate. So, one is that accurate in other couple of trends that you can shut one down and secondly how wide was the gap between the bid in offers there that you might be able to try and resuscitate a sale of that asset some time down the line?
Paul E. Huck - Vice President and Chief Financial Officer: Well first in... and regarding the operating rates; we have gone through and made the changes in the plant to size the plant right to the size of the business which we have and so I think we're in good shape there. We also have added a few... we have also added an additional customer during this timeframe in this business. But this is the long-term contract type business and it has minimum surrounded and so as you go out and offer it wasn't as attractive to, let's say, private equity type of deals. It's not a huge business. It doesn't have any growth prospects really around it. But it does provide us a very steady ensure cash flow with that and so we made our decision to keep it because it was a good contributor to the Company.
Robert Koort - Goldman Sachs: And I guess the logic was strategic buyer. One of your other main customers. Taking a look at that there was never discussed or just wasn't any interest there?
Paul E. Huck - Vice President and Chief Financial Officer: I am not going to talk about the... and the things which you, which we talk with our customers about. But certainly we try to explore as many avenues to look at the right place for this asset. And it turns out the right place I think is for us. We have the knowledge of how to run this plan, how to serve this market well. We are not going to invest back in this business. We are not going to build capacity in other places of the world. But I think we have a good asset here which makes good sense for us to run from a cash standpoint for us.
Robert Koort - Goldman Sachs: Okay, thanks.
Paul E. Huck - Vice President and Chief Financial Officer: Thanks, Bob.
Operator: And next we'll hear from Laurence Alexander from Jefferies.
Laurence Alexander - Jefferies & Company: Good morning.
Paul E. Huck - Vice President and Chief Financial Officer: Good morning Laurence.
Laurence Alexander - Jefferies & Company: First of all, just to be clear on the outlook for 2008; is there a pension headwind in 2008 as well as the higher taxes?
Paul E. Huck - Vice President and Chief Financial Officer: Yes there is. Yes there is... I commented. You go to our footnotes. We said that the pension... the pension charge is about 30 to 35 in total. The way the accounting works for this, Laurence, is you can only record it at the time that you pay it. So we actually paid in $10 million of that this year and we will pay 20 to 25 next year. And that will be recorded at the time we pay it.
Laurence Alexander - Jefferies & Company: And then --
Paul E. Huck - Vice President and Chief Financial Officer: That's included in the guidance.
Laurence Alexander - Jefferies & Company: And then the maintenance spending for that hit tonnage this quarter that was about $5 million to $6 million?
Paul E. Huck - Vice President and Chief Financial Officer: Yes you are right.
Laurence Alexander - Jefferies & Company: And finally, can you discuss the... as you're looking at the Electronics from SKU reduction a $100 million is that including the income HPPC divestiture or is that on top?
Paul E. Huck - Vice President and Chief Financial Officer: No. No it does not include the HPPC divestiture. The HPPC divestiture is treated as discontinued ops, so it is out of all of our sales. The SKU and these are different products which... these are products which we are buying and re-selling. In the market principally, until we've been taking actions with that and we notify our customers last year and we gave them like a 12 month notice. So they will be coming off that in this current year.
Laurence Alexander - Jefferies & Company: And finally, what's your economist's confidence interval on the manufacturing assumptions for next year?
Paul E. Huck - Vice President and Chief Financial Officer: On a confidence interval?
Laurence Alexander - Jefferies & Company: Yes.
Paul E. Huck - Vice President and Chief Financial Officer: At last you know as far the way the economy is working out now I think we feel good about that.
Laurence Alexander - Jefferies & Company: Thank you.
Operator: And next we'll go to Jeffrey Zekauskas from JP Morgan.
Jeffrey Zekauskas - J.P. Morgan: Hi. Good morning.
Paul E. Huck - Vice President and Chief Financial Officer: Good morning Jeff.
Jeffrey Zekauskas - J.P. Morgan: I've got a couple of questions about the chemical business.
Paul E. Huck - Vice President and Chief Financial Officer: Sure.
Jeffrey Zekauskas - J.P. Morgan: How did you double profits in the quarter year-over-year. I know your sales were up $30 million, but it just seems such a marked improvement. Are you sure you want to sell the business?
Paul E. Huck - Vice President and Chief Financial Officer: Yes we are. And part of the reason here is that there is impacts on pricing, there is impacts on customer mix here of who takes in this business. So that... and that does have an impact on us.
Jeffrey Zekauskas - J.P. Morgan: So is the polymers business about 60% of the Chemicals segment. Is that the right order of magnitude?
Paul E. Huck - Vice President and Chief Financial Officer: The polymers business is roughly; probably may be that could to a little bit less. Probably it could be a little bit more Jeff. And probably little bit more.
Jeffrey Zekauskas - J.P. Morgan: Okay. And you accept that price?
Paul E. Huck - Vice President and Chief Financial Officer: On revenue percent,
Jeffrey Zekauskas - J.P. Morgan: On a revenue percent and is its margin above the chemical average or below the chemical average ?
Paul E. Huck - Vice President and Chief Financial Officer: I am not going to break out the margins of the individual businesses there.
Jeffrey Zekauskas - J.P. Morgan: Okay. And then lastly, on your balance sheet in your inventories and contracts and progress of 776 million, how much is inventories and how much is contracts in progress whatever that is?
Paul E. Huck - Vice President and Chief Financial Officer: Inventories for us runs about 525 to 550 in that and contracts and progress are there is the remaining portion.
Jeffrey Zekauskas - J.P. Morgan: What is that ?
Paul E. Huck - Vice President and Chief Financial Officer: It pertains to on the equipment which we sell. So if I am selling you their equipment in... I sell it in my electronics business. I sell it in the equipment business there and what I do is as I build up the sale and if don't if I am not on percent completed or not I ever put the true sales yet and then its less the progress billings for that. So there are some things which go on a completely contract basis; some small sales there and so it goes in to inventory, which is what that is. If I get a progress billing that goes against it.
Jeffrey Zekauskas - J.P. Morgan: Okay, thank you very much.
Paul E. Huck - Vice President and Chief Financial Officer: Sure.
Operator: And Michael Judd from Greenwich Consultants has our next question.
Michael Judd - Greenwich Consultants: Hi guys, thanks for taking my question, I have a question about currency. For the first quarter any way do you have any thoughts on how that impacts the business... the various businesses here and you can talk about volumes also if you like?
Paul E. Huck - Vice President and Chief Financial Officer: Yes. As far as currency is concerned I think further on if we look at Europe its already going to impact the European results favorably. What it does though from an economic standpoint, from a volume standpoint its going to depress the European business overtime because the higher cost... the higher value of the euro and pound, they are going to make the exports out of that area, harder an imports more attractive. Conversely helps us on U.S businesses as we have seen trade... the trade balance get better for the U.S.
Michael Judd - Greenwich Consultants: Thanks for the help.
Paul E. Huck - Vice President and Chief Financial Officer: Sure.
Operator: And David Begleiter with Deutsche Bank has our next question.
David Begleiter - Deutsche Bank: Thank you good morning.
Paul E. Huck - Vice President and Chief Financial Officer: How do you do?
David Begleiter - Deutsche Bank: Paul, will the sale of polymers be dilutive to '08 guidance?
Paul E. Huck - Vice President and Chief Financial Officer: Yes.
David Begleiter - Deutsche Bank: By how much do you think?
Paul E. Huck - Vice President and Chief Financial Officer: Depending upon the timing of when that occurs and will have that, but it could be... I have gone through the share buyback etcetera and done a lot of that in advance, which is part of the offset to that dilution with things. But at the time at which we do this deal and we will give you the information at that point in time. I am not going to comment on the profitability rate at this point in time that polymers individually, David.
David Begleiter - Deutsche Bank: Okay understood. On equipment, are you going to lose money in equipment in 2008?
Paul E. Huck - Vice President and Chief Financial Officer: No, I am not going to lose money equipment in 2008. It take $0.15 to $0.20 on equipment and energy, you can see what the impact is... that is, it does not take that segment to a loss.
David Begleiter - Deutsche Bank: Any if that $0.18 is here. Did you not?
Paul E. Huck - Vice President and Chief Financial Officer: The segment profits were around $100 million this year.
David Begleiter - Deutsche Bank: Okay, I will follow up later. And just one more thing on the six new plants in tonnage, what's the revenue and operating income impact in 2008 and 2009.
Paul E. Huck - Vice President and Chief Financial Officer: The six new plants in tonnage revenue... I mean which we would expect is our revenue growth for tonnage, this kind of be in line with the revenue growth for the Company. So somewhere in the 8% to 10% range for that time period.
David Begleiter - Deutsche Bank: For all from those...
Paul E. Huck - Vice President and Chief Financial Officer: You got to look at the loading impact too, we got loading impact and then the new plants. New plants are going to responsible for everything in there, we will have some loading impacts to that.
David Begleiter - Deutsche Bank: Is the tonnage plants, the largest of those six?
Paul E. Huck - Vice President and Chief Financial Officer: The other thing Dave on the tonnage thing and the Pemex plant as an example is not going to be accounted through per sales, it's going to an equity affiliate because we are doing a partnership with our partners in Mexico. And there is another facility which is also an equity affiliate too.
David Begleiter - Deutsche Bank: Okay, thank you very much.
Operator: And Mike Harrison with First Analysis has our next question.
Michael Harrison - First Analysis: Hi good morning.
Paul E. Huck - Vice President and Chief Financial Officer: Hi Mike.
Michael Harrison - First Analysis: In your sales update you noted that tonnage gases were up 20% through July and August and then it came in at 12% for the quarter. I was just wondering if you could explain what was going on in September that you would see such a sharp decline there and then have you seen any continued slowing in tonnage there in so far in November... in October.
Paul E. Huck - Vice President and Chief Financial Officer: What we had in tonnage last year is we had a plant come on stream in the last month, which pushed up the comparison period, as I said, you got to be careful about any particular one comparison at that point in time to because there are spot sales which go... which move around and don't occur every month, but that was the big impact which slowed us there.
Michael Harrison - First Analysis: Did the insurance settlement also hit in September?
Paul E. Huck - Vice President and Chief Financial Officer: The insurance settlement did not go through sales. The insurance settlement goes in other income.
Michael Harrison - First Analysis: Okay.
Paul E. Huck - Vice President and Chief Financial Officer: And so... but it did occur in the fourth quarter and obviously it was a big impact on margins of course, because didn't carry sales with it.
Michael Harrison - First Analysis: Okay. And then you mentioned the... in U.S. healthcare you mentioned that you redefined the business model there, I was wondering if you could elaborate on what you are doing differently going forward there?
Paul E. Huck - Vice President and Chief Financial Officer: Yes. And part of what we have done there in the business model is we have looked towards trying to take in focus our sales force on doctors as opposed to hospitals looking for a longer term patient with those things is that... that's an example of one thing. We have given them a new offering to go out and go to and the market within the respiratory end. We've taken our sales force and split it between the infusion and the oxygen portion of that, so we've made a lot of changes there. We're waiting to see the impact of those things.
Michael Harrison - First Analysis: And then, I was just curious in the chemicals business, if you could talk about what you're seeing right now in terms of raw material cost impact. How that might have impacted the business in the quarter and what you're outlook is as you look into '08?
Paul E. Huck - Vice President and Chief Financial Officer: Certainly, as far as on the raw material impact for us in chemicals and our polymers business, and we're being helped right now on a raw materials standby because we are VAM-based emulsion as opposed to an acrylic based... acrylic are being forced up by well. So we have... so that is helped us that helped our profits in our margin on a relative basis to an acrylic producer with that thing. On the polyurethane intermediates business that we actually pass through raw material cost there.
Michael Harrison - First Analysis: And just really quickly on the Matheson helium JV. I was wondering if you could give me a sense of the incremental capacity that's going to be coming on stream in '09 relative to your existing helium capacity ?
Paul E. Huck - Vice President and Chief Financial Officer: Nelson might handle that.
Nelson Squires - Director, Investor Relations: It will led about 5% to 10% to our global capacity.
Michael Harrison - First Analysis: All right, thank you very much.
Paul E. Huck - Vice President and Chief Financial Officer: Okay.
Operator: And Peter Butler of Glen Hill Investments has our next question.
Peter Butler - Glen Hill Investments: Good morning. Wondering what is... what are your criteria for a stock split and a dividend increase?
Paul E. Huck - Vice President and Chief Financial Officer: Well I am going to talk to... on the dividend increase first Peter, and regarding that is that we're going maintain our policy on dividends that to be within 30% to 40% of our earnings, and to pay that out, and so we don't see any change there. Regarding a stock split, I think I fail to see the value really in that force right not, it cost us money to do things, if we look at our holders and stuff like that I don't think its hurting our volumes and stuff like that or the liquidity to stock and so I can come up with the case to do it, I have a lot of holders who buy... they want to invest x number dollars in their products and buy up x number of shares.
Peter Butler - Glen Hill Investments: Okay. Another subject in healthcare, are your Lehigh engineers experiencing insoluble problems here and therefore the best case now is may be there were just pretty it up enough so you can sell it ?
Paul E. Huck - Vice President and Chief Financial Officer: We do not think the problems are impossible here. We put in place a plan of action, it certainly is taking us a lot little longer than what we thought, but we remained committed towards making this business better.
Peter Butler - Glen Hill Investments: Is selling it high... is that high on your option list of things to--
Paul E. Huck - Vice President and Chief Financial Officer: The option right now which we're going at is we are going to make this business better. And we will make judgments as we see the market and the business get better and we will take a look at what our future is in that business at that point in time.
Peter Butler - Glen Hill Investments: Okay, thanks for the help.
Paul E. Huck - Vice President and Chief Financial Officer: Yes.
Operator: Mark Gulley with Soleil Securities. has our next question.
Mark Gulley - Soleil - Gulley & Associates: Good morning guys, I got three questions for you. First of all CapEx will be down a lot in fiscal 2008 versus 2007, can you provide some color there and is that one of the reasons that you have already announced that expenditure for this program?
Paul E. Huck - Vice President and Chief Financial Officer: As far as CapEx for PP&E it's up Mark. As you can see it was $1 billion roughly this year. We are taking the $1 billion, $2 billion for us. And the other factor we have is the acquisitions and so we had the Poland acquisition and we bought up the remainder of our business in Malaysia. And we continue to explore our opportunities there. As far as looking forward that and we have some of that crank into our plans and crank into the plans... and for the share buyback there. But... and we will see. The acquisitions depends upon the opportunities that you well know.
Mark Gulley - Soleil - Gulley & Associates: Yes, thanks for the clarification. Paul, you have provided some margin assumptions for '08 for couple of businesses but not all. Could you may be fill the inside straight there?
Paul E. Huck - Vice President and Chief Financial Officer: Certainly on the businesses which we have is... I'll just go the other ones which I didn't talk about. The equipment and the energy business it really it is not a margin business per se for us as you well know... the L&G and the air separation portion of that business have helped the margins differ by a lot. So we... it doesn't pay for us to really focus on the margins in there. With regard to tonnage business, in that business is actually a return business. It gets what you have as you have the impact of the energy flowing through there all the time, and so that distorts the margins. I will tell you on a constant energy basis what we're looking for and we're looking to increase the margins there in that business. So, may be half a basis point or so.
Mark Gulley - Soleil - Gulley & Associates: And finally --
Paul E. Huck - Vice President and Chief Financial Officer: I misspoke there Mark... 50 basis points or so and not half a point, sorry.
Mark Gulley - Soleil - Gulley & Associates: Okay. Thanks. And talking about the supply limitations in liquid helium, liquid argon both U.S. and Europe, is it possible to say what your volume growth would have been had you had adequate supply?
Paul E. Huck - Vice President and Chief Financial Officer: And that's hard. But I think it would have been in line with the growth we saw in manufacturing here, certainly helium, there's a lot of demand out there right now, but it's hard to say, how much I would have actually sold.
Mark Gulley - Soleil - Gulley & Associates: Thanks Paul.
Paul E. Huck - Vice President and Chief Financial Officer: Yes.
Operator: And next one here from Don Carson with Merrill Lynch.
Donald Carson - Merrill Lynch: Yes. Nelson, I just want to clarify again on that merchant growth I mean if you... what was your actual LIN/LOX volume growth both in North America and Europe just trying to see whether in fact all this slowness was due to strains in argon and helium or what's going on with the underlying LIN/LOX trends ?
Paul E. Huck - Vice President and Chief Financial Officer: In North America and Europe both around 3% both pretty solid year-on-year. So we didn't really see any surprise if you will in growth there.
Donald Carson - Merrill Lynch: Right, but I guess it is slowing somewhat. I know in the past people have shown some concerns over perhaps up to 4% capacity increases next year. Do you think that capacity will be able to be absorbed by the market. I am thinking of North America specifically in sort of 3% demand growth environment ?
Paul E. Huck - Vice President and Chief Financial Officer: We still believe that and there are a couple of reasons. I think every one is continuing to show good growth in volumes and one thing we did point out was our signings were very strong in North America this past fiscal year, significantly higher than our targets which were actually higher targets than they were a year ago. So we... a lot of that is going to come on line here in '08 and so I think that will continue to take up some of that capacity.
Donald Carson - Merrill Lynch: Okay, and just a question on costs. You talked about $0.12 of higher costs this quarter year-on-year, how much of that would have been in merchant and things like higher power and diesel fuel costs, what kind of constraint is that?
Paul E. Huck - Vice President and Chief Financial Officer: Yes Don, on fuel and on the power what that shows it shows up in the price and the raw material costs for us.
Donald Carson - Merrill Lynch: Okay, and then finally Paul your major ORONA target I didn't hear a new target in terms of return on invested capital and what your goals are there?
Paul E. Huck - Vice President and Chief Financial Officer: Yes and for you know and obviously our goals there is... and keep trying to drive that up, Don, as we invest and grow the business here. We... our target for this year for on return on invested capital is probably 13% to 13.5% in that range.
Donald Carson - Merrill Lynch: And what about the several years. You think you can get up to the 15% range?
Paul E. Huck - Vice President and Chief Financial Officer: You know, if... yes I think that's possible in the future.
Donald Carson - Merrill Lynch: Okay, thank you.
Operator: And our next question comes from John McNulty from Credit Suisse
John McNulty - Credit Suisse: Yes, good morning thanks for taking my questions. With regard to your comments about the strength of Europe, really like that it come from Central Europe at least over the next year or two. Can you give us an update as to any kind of growth initiatives that you are doing in whole under this point, now you have got your feet on the ground for a couple of quarters here?
Paul E. Huck - Vice President and Chief Financial Officer: Well I think... and the big thing is we are expanding a plant there already. We will announce that this quarter, and we will continue... we'll continue to look at that expansion in to that business.
John McNulty - Credit Suisse: Okay, great. And then the maintenance issues that you had in the tonnage area. Was this just something that took longer than expected or is it just inflation in general and should we be expecting any of those costs to drag into the first quarter as well?
Paul E. Huck - Vice President and Chief Financial Officer: What it actually is that we have a lot more plans on stream John and when you look on year-to-year basis, there will be a lot more plants and lot plant equipment, the maintenance cost are not at a line, they aren't unusual here, it's just the year-on-year increase which goes along with the volume of the business. So you have seen the volume of the business, on the hydrogen side grow by 35% to 40% over the past couple of years and what this reflects is the cost of going out and maintaining those units.
John McNulty - Credit Suisse: Okay, but it is my understanding that negatively impacted the margins year-over-year, though. Is that correct because the growth should have been there to offset that I would have thought?
Paul E. Huck - Vice President and Chief Financial Officer: We had volumes and the way in which we talked about, we said the volumes had a positive impact on margins and then we had the hurricane recovery which is actually negative but then the maintenance cost and so... but overall if I just take the, if I just take the impact of the hurricane recovery which was unusual, I would have seen margins grow on a year-on-year basis there.
John McNulty - Credit Suisse: Okay that's helpful, thanks a lot.
Operator: And next we'll hear from Kevin McCarthy from Banc of American Securities.
Kevin McCarthy - Banc of America Securities: Good morning.
Paul E. Huck - Vice President and Chief Financial Officer: Good morning Kevin.
Kevin McCarthy - Banc of America Securities: In Asia, how would you characterize the expected rate of capacity growth in the merchant business over the next one to two years?
Paul E. Huck - Vice President and Chief Financial Officer: Well for us in Asia we... you know the growth rush LOX/LIN and the Merchant business has been in 20% range or so. I think the absolute percentage number is going to decline because the base is getting larger and larger. So I would say somewhere in the mid high teens.
Kevin McCarthy - Banc of America Securities: Your liquid bulk volume accelerated to 18% on slide 9, I think it was 9% last quarter. Just trying to gauge whether volume growth is going to outpace supply growth over the next year. So in that region and what the implications for pricing might be because from time to time we hear about competitive intensity popping up in countries like China and India.
Paul E. Huck - Vice President and Chief Financial Officer: Yes, and the thing which you ought to understand with that too, Kevin is that, it does depends upon the region in the country there. I mean Asia is very spread out so I can have the impacts in Korea or Taiwan or China, India etcetera for us. And so as we look at the manufacturing growth, we see very strong manufacturing. And we continue to see our investments blow quicker than what our assumptions are in the capital expenditure authorization. We've also been able to see that their pricing has is pretty good in the region. We've been able to recover increase in the power cost etcetera. And so and we're encouraged by the progress in the business. We're encouraged by the growth, we're encouraged by the pricing, we're encouraged by our investments there.
Kevin McCarthy - Banc of America Securities: Okay and then. Shifting gears to tonnage, Paul I think you mentioned you're looking at 20 new tonnage opportunities. How would that number compare with say this time last year? Are you seeing any pattern of acceleration or deceleration there?
Paul E. Huck - Vice President and Chief Financial Officer: It is certainly more. And they're getting a lot more real as we go through here and so we're encouraged by that.
Kevin McCarthy - Banc of America Securities: And finally, with regard to equipment and energy, when would you expect the backlog number to reach a bottom?
Paul E. Huck - Vice President and Chief Financial Officer: I would hope that the backlog number would start to pick up in mid 2008.
Kevin McCarthy - Banc of America Securities: Thank you Paul.
Paul E. Huck - Vice President and Chief Financial Officer: Yes.
Operator: And Mike Sison from KeyBanc has our next question.
Michael Sison - KeyBanc Securities: Hey guys.
Paul E. Huck - Vice President and Chief Financial Officer: Hi Mike.
Michael Sison - KeyBanc Securities: Can you give us a little bit of color just may be anecdotally where operating margins of electronics ended up for the year. I know your goal is sort to get to 15% or mid-teens if you will. Sort of what innings do you think we're at in terms of getting there?
Paul E. Huck - Vice President and Chief Financial Officer: I think if you look at the margins in the segment overall, we are making good progress there. You know I think we're on a steady path here to get the 15% margins by the 2009-2010 type time period in that segment. So... and we are close.
Michael Sison - KeyBanc Securities: Okay. And then in European merchant margins, that's been an area working on to sort of improve. Are we getting close to where you want to be in that business as well?
Paul E. Huck - Vice President and Chief Financial Officer: We have seen some improvement. What this really involves is taking cost out in those areas. So and we're still in the process of doing that as you can see and so as we continue to go out and deliver. But... and so we have seen some progress between our packaged gas and liquid bulk business this year, but we saw a more progress to get there.
Michael Sison - KeyBanc Securities: Great and last question in healthcare as I recall it is basically just loading up that business increasing sales. What type of sales growth do you think you'll need to sort to get to that 10% by year end?
Paul E. Huck - Vice President and Chief Financial Officer: You know the... as far as sales growth overall in the business certainly the markets growing 6% to 7% and so we looked at to go 6% or 7% or more in that business grab some share.
Michael Sison - KeyBanc Securities: All right, thank guys.
Paul E. Huck - Vice President and Chief Financial Officer: Yes.
Operator: And that does conclude our question and answer session for today. At this time I Mr. Squires I'll turn it back over to you for any additional or closing remarks.
Nelson Squires - Director, Investor Relations: Thanks Janelle. Please go to our website to access a replay of this call beginning at 2 PM today. Thank you for joining us and have a nice day.
Operator: And once again that does conclude today's conference. We thank you for joining and have a great day.